Operator: Good day, ladies and gentlemen. And welcome to the NOVAGOLD 2017 Year End and Fourth Quarter Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] And as a reminder, this conference may be recorded. I would now like to introduce your host for today's conference, Ms. Mélanie Hennessey. Vice President of Corporate Communications. Ma’am, you may begin.
Mélanie Hennessy: Thank you, Sabrina. Good morning everyone. We are pleased that you are with us today for NOVAGOLD’s fourth quarter and year-end financial results as well as an update on the Donlin Gold and Galore Creek projects. On today’s call, we have Greg Lang, NOVAGOLD’s President and CEO; and David Ottewell, NOVAGOLD’s Vice President and CFO. At the end of the call there will be time for questions both by phone and by e-mail and the operator will prompt you for how to ask these questions. But before we get started, I would like to remind our listeners that our materials do contain forward-looking information and also projections that may differ from actual results. Please refer to the risks and uncertainties that are disclosed in our Annual Report filed on Form 10-K for the year ended November 30th, 2017, and also other NOVAGOLD reports and documents filed on SEDAR and EDGAR. With that, I have the pleasure of introducing Greg Lang, NOVOGOLD’s President and CEO. Greg?
Greg Lang: Thank you, Mélanie and we appreciate everyone taking the time to join our call this morning. We will be reviewing our 2017 year-end and fourth quarter results as well as providing an update on our two projects, which we co-owned with senior producers. The first is our flagship property, the Donlin Gold project in Alaska, which is co-owned with Barrick and continues to progress through permitting. It is poised to become one of the largest producers in the gold industry. Our other project, Galore Creek in British Columbia, is co-owned with our partner, Teck, and is one of the largest undeveloped copper deposits in Canada. I wanted to start the call off this morning by providing an update of the achievements in 2017, particularly as it relates to the advancement of permitting at Donlin Gold. As outlined on slide five, a tremendous amount of work was accomplished by our team as we provided the corps with all of the information required to complete the final EIS. We secured the issuance of some major state permits and conducted a drill program in support of our ongoing optimization work. Together, we have been committed in making sure we successfully complete the permitting for Donlin and lay the foundation to develop this one of a kind asset. The corps is finishing its last provisions to the final EIS, which it plans to publish in early 2018, followed by the issuance of a Record of Decision in the second half of the year. Other key federal and state permits and approvals will follow concurrently or shortly after the Corps issues a Record of Decision. Specifically, the air quality permit was issued in June, followed by the draft release of the water discharge and integrated waste management permits for comments in December 2018. By all counts, permitting is advancing toward completion in 2018. Moving to slide six, another key focus in 2017 was Donlin Gold's optimization work, which we advanced together with Barrick. As part of this work, we have been evaluating selective mining practices to increase the mine grade. To that end and to collect geochemical and structural data proportion to the deposit as well as further strengthen our understanding of the targeted mineralized zones, a drill program consisting of 16 holes and about 7,000 meters was completed last April. Assaying of the core is ongoing and we are satisfied with the results to-date and the validation it brings to our ongoing optimization work. We clearly have a large and remarkable ore body with exceptional size and grade, yet both owners are striving to optimize its development, such that we can be among the largest producers, but with lower upfront capital, costs, and a robust execution plan. To further advance these efforts, the owners have retained an external engineering firm to support our ongoing optimization work. As such, we will be integrating the data from our latest drill program to further advance these efforts. Other opportunities include innovative technologies in logistics and automation, modular construction techniques, and third-party participation in the infrastructure and development. All of this will help us determine the best path forward for the project and we anticipate updates on these efforts in 2018. As shown on slide eight, throughout the past year, we supported both the Donlin Gold and Galore Creek Project teams in their community engagement efforts by participating in meetings, tours, events and other activities across Southwest Alaska and Northern British Columbia. Several Donlin site tours were carried out for key stakeholders in the Y-K region with our Native Corporation partners, Calista and TKC, as well as village visits and presentations to the traditional village councils, residents, and students. We proudly supported the Elder/Foster Grandparent Program that supports elders in the Donlin region as they work to continue to increase school children's readiness and connection to their culture. Donlin Gold also partnered with Cisco to offer information technologies to be used in the Kuskokwim school district. At Galore Creek, bursaries were awarded to Tahltan First Nation members pursuing postsecondary education, an important initiative which fosters continuous learning. Also imperative in ensuring our success is maintaining frequent and consistent engagement with our shareholder base, which is why following the 2017 proxy season, several members of our board met with our top institutional shareholders to discuss compensation and governance matters. These efforts initiated an important dialogue regarding changes to ensure the effective management of the company as it evolves. And with that, I'll turn it over to our CFO, David Ottewell.
David Ottewell: Thank you, Greg. Slide nine highlights our 2017 operating performance. For the year, we reported a $39 million net loss, $5.2 million higher than the prior year. The operating loss increased by $3.6 million due to the Donlin Gold drill program, increased care and maintenance activity at Galore Creek, and higher G&A costs, partially offset by lower permitting cost at Donlin Gold. Other expense increased due to higher interest expense on the Barrick promissory note and foreign exchange movements due to the strengthening of the Canadian dollar. NOVAGOLD's cash flow highlights are outlined on slide 10. For the year, we spent $21.3 million, of which $13 million was to fund our share of the Donlin Gold and Galore Creek projects and $8.3 million was used for operating activities, including administrative costs and working capital. Cash used to fund our projects increased $3.3 million over the prior year due to the drill program at Donlin Gold. The prior year also included $4.3 million used for withholding tax on share-based compensation. Finally, on slide 11, we expect to spend approximately $28 million in 2018. Spending is expected to increase this year due to the additional Donlin Gold optimization work and increased care and maintenance activity at Galore Creek. We expect to end the year with approximately $56 million cash and term deposits. Greg, back to you.
Greg Lang: Thank you, Dave. As illustrated on slide 12, our optimization efforts are well justified. Donlin Gold is a unique project. It's endowment of 39 million ounces of gold in the measured and indicated category is about four times the size of its peer group average. The project also boasts great grade, almost twice what we see in the gold industry today. Donlin will also be a large producer -- the largest among the next generation of mines, averaging over 1 million ounces a year over its remarkable lifespan. We've only just started exploring the trend at Donlin and when permitting is behind us, we look forward to resuming drilling on this vast project. We're in a rising gold pricing environment and this slide illustrates the leverage that the project brings in times like these. Donlin also enjoys the benefits of being on private land that was designated for mining activities. It's owned by two Alaska Native Corporations, Calista and TKC and we have life of mine agreements in place with both of these entities. Slide 18 shows how far we've come in the last two years. Permitting is a long undertaking and it's not the most exciting portion of the life of the mine. It requires an incredible amount of effort and focus from everyone involved to ensure a successful outcome and lay a foundation from which to develop one of the best deposits in the industry. And this is at a time when availability of major long life high-grade projects with great exploration potential and in jurisdictions like Alaska is almost non-existent. Donlin Gold will be a life-changing project for the local stakeholders and our community partners. Turning to Galore Creek on slide 19. The focus in 2017 was on site care and maintenance with the majority of the work conducted over the summer months, and about half of our employees were members of the Tahltan First Nation. Our primary objective is the advancement of our flagship Donlin Gold project. Our intention remains to sell all or part of our interest and redeploy the proceeds towards Donlin Gold. We want to make sure that the value we would receive for our interest in this high-grade project is reflective of the scarcity value. With escalating copper prices, Galore Creek could be a core asset for many major companies. Turning to slide 20, we've listed some of the catalysts which are on the horizon. The most important one is the Donlin Gold final EIS, which is expected to be published in just the coming months. Following that, we look forward to providing updates on our optimization efforts and the next steps forward as permitting gets behind us. NOVAGOLD enjoys the support of the strong base of institutional shareholders, many who view their investment in our company as an un-expiring warrant on gold. And to wrap it up, the company is in great shape financially, we're steadily advancing our projects with our partners, our optimization efforts are very exciting, and we look forward to updating everyone on our activities this year. Operator, we can now open the line for questions.
Operator: Thank you. [Operator Instructions] And the first question will come from the line of John Bridges with J.P. Morgan. Your line is now open.
John Bridges: Hi, good morning Greg, everybody. Congratulations on the progress. I was just wondering, the seven holes that you put in to look at some activity and that sort of thing, what exactly were you trying to do there? If you were trying to sort of do some engineering on how accurately you can mine, then I would have thought -- I would have expected a larger number of holes. Are you sort of targeting a specific high-grade zone or are you testing a number of different zones? What was holding the drilling supposed to achieve? Thanks.
Greg Lang: Well, good morning John and thank you for joining on our call today. As part of our ongoing optimization work, we've studied more selective mining methods as a means of enhancing the grade. And in essence, it's basically using somewhat smaller equipment than giving yourselves the opportunity to be more particular about your grade control. And the drilling is conducted to verify this hypothesis and certainly we're satisfied that we are doing that. There's a lot of drill holes in Donlin, so our program last year really targeted areas that could enhance our understanding of the ore body and the structural controls associated with the intrusives.
John Bridges: Is this a low strip ratio portion of the ore body? Is this underground target or a number of -- or a mix of both?
Greg Lang: John we're primarily focused on the open pit activities where there is a subject of the current permitting. So, we think there is certainly potential below the ore body, but that's many, many years down the road.
John Bridges: Okay. And then you're expecting to see the EIS come out early in 2018. So, maybe that's in the next month or two. But then if you can just remind us then that gets thrown out to the public and it's only later in the year that the Record of Decision is released when you can start taking concrete steps. Is that correct?
Greg Lang: That's correct, John. The Army Corps of Engineers has stated that they will publish the EIS in about two months' time. That's on their website. And then they will take about four months to write a Record of Decision, which is essentially the conclusion of the formal EIS process. That then goes out for public comment. So, sometime in the third quarter of the year, we should be pretty well wrapped up with the federal permitting process.
John Bridges: Okay, cool.
Greg Lang: And we have that almost behind us, John.
John Bridges: The gold purchased [ph] is inside. Well done guys. Well done. Thank you.
Greg Lang: Thank you.
Operator: Thank you. And the next question will come from the line of Lucas Pipes with B. Riley FBR. Your line is now open.
Lucas Pipes: Great job on the progress and I wanted to touch on some of the points that John just raised. And with the gold post in sight and you mentioned in the release the optimization work, to what degree can you pursue these two paths? Meaning, the last couple of yards on the permitting and then the optimization simultaneously. And what do you think are kind of the most relevant dates to keep in mind on the optimization front? Thank you.
Greg Lang: All right. Lucas, you raised very important question and that's we are, of course, very sensitive to our activities, staying within the project that we're just about ready to have approval on. So, our optimization efforts will focus on the known mineral occurrences and the activities of which the Corps of Engineers and the other agencies are reviewing. So, the key milestones for us really is getting this permit work behind us and we are looking to conclude our optimization work concurrently as we wrap-up the last stages of the permitting. So, later in the year, I think we'll be in a position to share some of the things we've learned in the last couple years with studies with our partner Barrick.
Lucas Pipes: That's great. Great. Excellent. Thank you. And then I remember reading in the -- I think it was the regulatory filing last night that Galore Creek remains open for sale, partial or in full. I just wondered if the stronger copper price has also shown itself in maybe a little bit more inbound activity and if you could just give us an update on Galore Creek and the level of interest that you're seeing? Thank you.
Greg Lang: Sure Lucas. You're absolutely right. As copper has started making a move about this time a year ago, the inbound interest for our Galore Creek project certainly picked up. And I think we're going to find that our patience on the sale of Galore will be rewarded because, all along, we said, hey, we think this is a valuable asset and when the time is right, we'll monetize it. And with copper about $3 a pound, certainly, the interest has picked up, and it's with companies that have the wherewithal to take on a project like this. So, we're pleased with that and we're actively considering the best path forward in the right time. We've been very fortunate all along that our treasury is very strong. We'll finish the year with -- as Dave pointed out, just under $60 million, which will carry us well into the future. So, it puts us in a great spot in the disposition of Galore.
Lucas Pipes: Okay. Well, appreciate the update. And good luck for everything.
Greg Lang: Thank you for calling in Lucas.
Operator: [Operator Instructions]
Greg Lang: Everyone, there being no further questions, we'll conclude the call this morning. Thank you for all dialing in. Have a good day.